Operator: Good day, ladies and gentlemen, and welcome to the Q3 2013 Cabot Earnings Conference Call. My name is Glenn, and I will be your operator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to your host for today, Ms. Erica McLaughlin, Vice President Investor Relations. Please proceed.
Erica McLaughlin: Thank you, Glenn. Good afternoon. I'd like to welcome you to the Cabot Corporation earnings teleconference. Last night, we released results for our third quarter fiscal year 2013, copies of which are posted in the Investor Relations section of our website. For those on our mailing list, you received the press release either by email or fax. If you are not on our mailing list and are interested in receiving this information in the future, please contact Investor Relations. The slide deck that accompanies this call is also available in the Investor Relations portion of our website and will be available in conjunction with the replay of the call. I remind you that our conversation today will include forward-looking statements, which are subject to risks and uncertainties, and Cabot's actual results may differ materially from those expressed in the forward-looking statements. A list of factors that could affect Cabot's actual results can be found in the press release we issued last night and are discussed more fully in the reports we file with the Securities and Exchange Commission, particularly in our last annual report on Form 10-K. These filings can be found in the Investor Relations portion of our website. I will now turn the call over to Patrick Prevost, who will discuss the key highlights of the company's performance. Eddie Cordeiro will review the business segment and corporate financial details. Following this, Patrick will provide closing comments and open the floor to questions. Patrick?
Patrick M. Prevost: Thank you, Erica, and good afternoon, ladies and gentlemen. We are pleased to see volumes throughout our segments increase this quarter, as demand in many of our end markets improved. The higher volumes drove a 33% increase in our adjusted earnings per share, as compared to our second quarter. We are also pleased with the record-setting results of the Advanced Technologies segment. These results were driven by higher volumes across many of the businesses and cost savings related to the restructuring actions we announced earlier this year. In addition, we reduced our networking capital by $30 million this quarter through a company-wide initiative to focus on cash generation. We plan to continue this focus through next quarter and would expect another $50 million reduction by September. While this initiative improved our net working capital, it had an unfavorable effect on the P&L of approximately $8 million in this quarter. We also experienced $3 million LIFO accounting charge, which hit our results. Finally, we continue to face near-term challenges in the mercury removal market and our Purifications Solutions segment. The year-to-date results in Purifications Solutions are disappointing, and this is principally due to the weakness in the North American mercury removal market. Year-to-date, our gas and air volumes have declined by 17%, primarily driven by Illinois utilities. These utilities have moved to a 90% mercury removal model when prior to that, they injected a fixed activated carbon level. The situation has also been exacerbated by excess capacity. We have held our position in the market but had to make some pricing concessions. As we look forward in this business, the MATS regulation remain on track for 2015 implementation, driving a fourfold increase in demand for activated carbon in the U.S. We're already engaged actively with a number of utilities representing roughly 1/4 of the anticipated new activated carbon volumes required after MATS' implementation. While we were pleased to see the volume improvement this quarter, we also continue to focus on opportunities to improve our efficiency and competitive position across our businesses. And in April, we announced our intention to close our carbon black facility in Malaysia. We have since ceased operations at the facility and we're on track with the closure plan. We expect that the closure will result in annual cost savings of approximately $7 million per year. As mentioned earlier, we also initiated the restructuring actions in the Advanced Technologies segment at the beginning of the year. And they are yielding cost savings that are now on a $12 million run rate for 2014, as compared to our original estimate of $10 million. We recently announced our intention to acquire the remaining 60% of our Mexican carbon black joint venture. Once completed, the acquisition will give us improved access to an important growth market in Mexico and additional capacity to support the expansion of our customers in North America. Auto and tire manufacturers have been increasing capacity in the U.S. and Mexico, which is driving demand for our high-performance products. This acquisition demonstrates our ongoing commitment to delivering high-quality products and services from local supply sources. We expect the acquisition to be accretive by $0.15 in the first year, with additional synergies of $0.05 to $0.10 in the next 2 to 3 years. Closing is expected to be before calendar year end, of course, pending regulatory approvals. The closure of our Malaysian plant, the restructuring in the Advanced Technologies segment and the pending acquisition of NHUMO demonstrate how we continue to focus our resources on improving our global competitive position. And these are just 3 examples of how we drive improvement across the company while we continue to operate in a challenging business environment. Over the past few months, we have seen positive trends in some of the end markets we serve. Tire sales in Europe showed year-over-year improvement during the last quarter, as did our carbon black sales. We believe this may signal that Europe is stabilizing. In North America, auto production remains solid and we're seeing some improvement in construction-related indicators. North American replacement tire demand is unfortunately still weak. As I turn to emerging economies, we experienced higher reinforcement materials volume in China this quarter. The country continues to grow, albeit at a slower rate. And we're looking forward to the grand opening of our Ching Tai [ph], China plant in September. This facility will be our most efficient plant globally, enabling new sales in the high-growth China market and the Asian region as a whole. South America volumes were also higher, with government policies helping domestic manufacturing. And if I look at it all in all, I'm cautiously optimistic about the coming months. I will now turn it over to Eddie to discuss the third quarter financial results in more detail. Eddie?
Eduardo E. Cordeiro: Thank you, Patrick. For the third fiscal quarter, total segment EBIT from continuing operations was $111 million, which was $2 million higher than last year's third quarter. The increase compared to the prior year was driven by higher volumes, partially offset by lower pricing in Asia and Europe for reinforcement materials, and higher costs from the reduction of inventory levels. While segment EBIT was higher than the prior year, adjusted earnings per share was lower. The decrease in adjusted earnings per share was driven by $3 million LIFO accounting charge in the third quarter of 2013, as compared to a $5 million LIFO accounting benefit in the third quarter of last year. This $8 million change, along with higher interest expense and a 2% higher tax rate, resulted in lower adjusted EPS. Sequentially, total segment EBIT increased $22 million and adjusted EPS improved by 33%, both of which were driven by higher volumes across the company, partially offset by increased maintenance activity and higher cost from the reduction of inventory levels. I'll now discuss the details at the segment level. Let me begin with Reinforcement Materials. During the third quarter of 2013, EBIT for Reinforcement Materials decreased by $11 million as compared to the third quarter of 2012. The decrease was due to lower pricing in Asia and Europe and $3 million higher costs associated with the reduction of inventory levels. Volumes increased 4% as compared to the prior year from the recovery in most regions. Sequentially, EBIT increased $7 million, driven by 8% higher volumes. The higher volumes were partially offset by lower margins in Japan, as we recover from the plant outage last quarter, increased maintenance activity and higher costs associated with the reduction of inventory levels. We believe that the volumes have stabilized and we are seeing signs of a modest recovery. Europe seems to have bottomed out as we have seen positive comparisons over the last few months. While we are pleased with the recent volume trend, near-term visibility into a recovery remains challenging. Longer term, we are optimistic about the industry trends and our global leadership position in the carbon black industry. In the -- in Performance Materials, EBIT decreased by $3 million as compared to the third quarter of 2012. The decrease was driven by 11% lower Specialty Carbons and Compounds volumes as global infrastructure-related spending remained soft, which impacted customer order patterns. The segment also incurred $3 million higher costs associated with the reduction in inventory levels. These unfavorable items were partially offset by 12% higher volumes in Fumed Metal Oxides from new product introductions and the successful commercialization of new capacity. Sequentially, Performance Materials EBIT decreased by $2 million, principally due to 7% lower volumes in Specialty Carbons and Compounds and higher costs associated with the reduction in inventory levels. These increases were partially offset by 6% higher volumes in Fumed Metal Oxides. Volumes in Specialty Carbons and Compounds have followed a different seasonal trend this year as customers have been careful not to build inventory. We saw customer de-stocking in our first quarter. A significant rebound from that in our second quarter and now, in our third quarter, volumes have declined again. This variability has been difficult to forecast and may continue until we see better underlying fundamentals for our key end markets in infrastructure and construction. This business also has a larger exposure to Europe than some of our other businesses, which has put pressure on the volumes over the last few quarters. On the positive side, we were pleased to see another quarter of year-over-year volume growth in Fumed Metal Oxides. Our investments are paying off with strong results despite the business environment. Our China volumes have grown with our new capacity, which came online last year, and we've had increasing success commercializing new products for the adhesive and silicones markets. Advanced Technologies EBIT increased by $15 million from the third quarter of fiscal 2012 and $19 million as compared to the second quarter of 2013. The EBIT increases for both comparative periods were driven by higher rental activity and direct sales in Specialty Fluids, improved volumes in Inkjet Colorants, Elastomer Composites and Aerogel, and cost savings from segment restructuring actions announced earlier this year. Specialty Fluid had a record quarter with $80 million of EBIT. We saw strong improvement in the activity levels in the North Sea, as compared to previous quarters, and we had repeat business in India. We have a growing pipeline of projects and our expansion into new geographies is progressing very well. This spring, we experienced instability in a portion of our mine in Canada. We stopped mining temporarily during the third quarter, until we implemented additional monitoring devices and increased safety measures. We are back in operation at the mine and in the early stages of a project that we expect will address these instability issues while also potentially prolonging the life of the mine. We expect to spend between $10 million and $20 million of capital in fiscal 2014, related to this project, ensuring safety and mine stability, which are our top priorities. Inkjet Colorants, Elastomer Composites and Aerogel experienced higher volumes, both sequentially and as compared to last year. In Inkjet Colorants, we continue to see strong demand for commercial printing and office application. For Elastomer Composites, we recognized $1 million of royalties related to our agreement with Michelin and expect that to grow as the installed base of production at Michelin increases. The Aerogel business benefited from higher volumes for subsea pipeline applications and from the last payment of a third-party royalty. We're very pleased to see the segment contributing so positively to results and expect this trend to continue. On an adjusted-standalone basis, EBITDA for the third quarter of fiscal 2013 in Purifications Solutions decreased by $9 million, compared to the third quarter of fiscal 2012. Sequentially, adjusted EBITDA decreased $2 million as compared to the second quarter of fiscal 2013. The decreases in adjusted EBITDA in both comparative periods were due to lower volumes in gas and air purification end markets, as we continue to face a very challenging mercury removal market and unplanned plant outages that resulted in both higher maintenance and a reduction of inventory. The unplanned maintenance cost $2 million and our inventory reduction cost $3 million. Sequentially, volumes increased 9% despite the lower volumes in the gas and air end market driven by the water, chemicals, and food and beverage end markets, which were up a combined 25%. We also received a $3 million royalty payment in the quarter. In the fourth quarter, we expect the stronger volume trend for non-mercury related markets to continue. However, we will continue to draw down inventory and incur additional maintenance expenses related to the unplanned outage this quarter, resulting in fourth quarter performance at a similar level to the third quarter. As we look towards next year, we expect year-over-year comparisons to improve. The improvement should come from 3 areas: first, we expect the mercury removal market will show modest improvement; second, the other end market should continue to grow by 5% to 10% per year; and, third, we do not plan to continue to reduce inventory in 2014, as we did in 2013. We anticipate improvement next year back to historical 2012 EBITDA levels and substantial growth in 2015 as MATS begins to take effect. I will now turn to corporate items. We ended the quarter with a cash balance of $76 million, which was a decrease of $9 million from March. Our liquidity position remains strong at $623 million. Capital expenditures were $68 million during the quarter, and we expect to spend between $250 million and $275 million in fiscal 2013. We also reduced debt by $61 million. During the third quarter, we generated $145 million of adjusted EBITDA and reduced networking capital by $30 million, driven by a $39 million reduction in inventory. Also, we collected $10 million of cash related to the Supermetal sale and we'll receive the remaining $215 million in March 2014. We recorded a net tax provision of $16 million for the third quarter, which included charges for tax-related certain items. Our operating tax rate on continuing operations for the third quarter was 27%, and we expect our operating tax rate for fiscal 2013 will remain in this range. And I'll now turn the call back over to Patrick.
Patrick M. Prevost: Thank you, Eddie. We are pleased with the recent positive demand trends in a number of our end markets around the globe and we remain well positioned to capture volume growth. The tire industry is showing signs of improvements in Europe and South America, remains solid in North America and fairly robust in China. The Purifications Solutions business continues to show strong growth in most end applications but will continue to be challenged in the North America mercury removal sector through the middle of next year. We expect continued momentum in the Fumed Metal Oxides business and should see improvement in Specialty Carbons and Compounds after some recent end market de-stocking volatility. Finally, we are pleased with the potential shown by the growing demand in the various Advanced Technologies businesses. After a difficult start to the fiscal year, we're optimistic after seeing signs of demand improvement in most of our global businesses. Thank you very much for joining us today, and I will now turn the call back over for our Q&A session.
Operator: [Operator Instructions] And your first question comes from the line of Ivan Marcuse of KeyBanc Capital.
Ivan M. Marcuse - KeyBanc Capital Markets Inc., Research Division: Looking at your optimism towards volumes, you had an 8% increase, how much did -- in the quarter -- 2 questions for this. How much did Japan cost you in this quarter, the outage? I thought that was over last quarter, the way I was -- I understood it. And do you expect that to continue into the fourth quarter? And then if you look at volumes, do you think volumes could remain sort of on a sequential trajectory?
Patrick M. Prevost: Right. So yes, correctly, we saw an 8% improvement quarter-over-quarter and -- but if -- you remember right that we had about an $8 million impact from the Japan event last quarter. Unfortunately, we've only recovered about half of that $8 million in this quarter and we're looking forward to being able to continue to ramp up in the coming quarters. So if you look at that, basically, there's only about $4 million of that $8 million that we have been able to recover. If you look at the 8% growth, it represents about $12 million. But against that, we had some high maintenance costs of about $4 million, and then we also had the inventory drawdown effect of $3 million. So that's kind of the story with regard to the Rubber Blacks business. With regard to the volumes, I would say that we're pleased to see the improvements across the board. We believe that we've been in the Carbon Black business below trend, long-term trend. And we're hoping that in the near future, we'll be able to go back to the trend line or above the trend line. And the only thing I would say at this stage is that July numbers seem to be showing some level of robustness. But it is perhaps too early to say that we're at the recovery stage yet.
Ivan M. Marcuse - KeyBanc Capital Markets Inc., Research Division: Great. On that -- with improvement in volume, it's in a different -- I know it varies region to region, but what is the pricing environment like?
Patrick M. Prevost: So, I think, in the past few quarters, we've -- we had indicated that, that we've seen some pricing weaknesses in Europe, that was in the second quarter, and then in China, late last year. And what I would say is that the current environment on the pricing side has stabilized, so we've seen no deterioration in prices. And I would say that with the volumes recovering, we should be able to continue to see pricing going in the right direction, especially since we're committed to a value-pricing strategy.
Ivan M. Marcuse - KeyBanc Capital Markets Inc., Research Division: Great. And then moving over to Purifications. So the expectation for this business is to be accretive in '13, which it appears it's going to be dilutive or a drag on earnings, all in. And then do you think that you could get back to -- it could be accretive in 2014? And then with that -- it came as a pretty large price tag, so do you -- is there going to be a write-down on this business, do you think? Or how to think about this going forward?
Patrick M. Prevost: No. So first of all, there's no risk of a write-down in this business. I think the -- we've been disappointed with the performance of the business. And it's been, to a great extent, due to the mercury removal market, which has seen significant volume decline. We had expected some until the MATS regulation would kick in, in 2015 but it's been much more than we had expected. And with that, we've also seen, of course, some price decline. A lot of what has been happening over the last few quarters has been about maintaining our positions with the -- with our existing customers to make sure that we're positioned when the MATS regulation comes into play. We've also, unfortunately, experienced a couple of unplanned plant outages that have affected our bottom line this quarter and will also result in some high maintenance costs next quarter. And then finally, in terms of the bottom line impact, we've taken, across the company, a cash focus -- a stronger cash focus, recently, which has resulted in a reduction in inventories, which has also had a negative impact on the bottom line. But all in all, I would say we continue to like the business. I think one of the messages in the prior speech was that we've seen actually a 25% quarter-on-quarter improvement in the non-mercury -- or non-air and gas markets. So the applications -- the non-air and gas applications are continuing to grow. We expect the growth to be in the 5% to 10% range for these various applications. And thinking about the business going forward, we indicated that maybe a way to think about it is that we believe that we should be able to return to 2012 EBITDA levels for -- in 2014. We'll still see a bit of a weak mercury-removal market during that period but expect it to see some improvement towards the end of '14. And then we're still very bullish with regard to 2015 and beyond as we see the MATS regulation being implemented in 2015. And we're already in active discussions with many utilities that represent about 1/4 of the growth in volume that we see. And just as a reminder, we believe that the market will grow between a factor of 4 to 5 from where it is today.
Ivan M. Marcuse - KeyBanc Capital Markets Inc., Research Division: And then just a quick follow-up and I'll get back in the queue. With -- in terms of the acquisition, does this change you or the board's view, sort of, capital allocation going forward? Like more of a -- maybe a desire to do -- be able to be more aggressive on the share buyback versus acquisitions, et cetera?
Patrick M. Prevost: Well, I think, we're committed to returning cash to our shareholders. We've been a dividend-paying company for many years. We've been allocating capital to high-growth projects, and I would say that those are going to be the main priorities going forward. But we're also realizing that we need to manage cash more carefully and we'll be looking at reducing that in the coming quarters.
Operator: And your next question comes from the line of Kevin Hocevar with Northcoast Research.
Kevin Hocevar - Northcoast Research: I have a kind of a 2-part question on Norit. Has anything changed in kind of your 2-year sale outlook for the company in terms of your initial expectations for the mercury business? Has anything changed in terms of -- are substitute products becoming more of an issue, are utilities becoming more efficient than you had expected in terms of using mercury-activated carbon to remove mercury? So has anything changed from that perspective? And then the second part, in terms of pricing, could you give us an idea of how much pricing has come down and impacts you currently? And kind of -- I know it's a tough question, but outlook for pricing over the next 2 years or so as supply and demand gets more in balance?
Patrick M. Prevost: Yes. So starting with the first question around technology and alternatives, we're not seeing any alternative technologies that has the combination of efficiency and cost that activated carbon is capable of delivering in the mercury removal market. So we're still very much convinced that it's the best solution for the market. I believe our customers are in the same boat in that respect. We've seen, more recently, and this is part of the impact that we were recording, we've seen a more efficient use of activated carbon, partially due to a change in the way the Illinois regulation has changed. The Illinois regulation was originally based on a fixed amount of activated carbon injection level and it has now changed to more of a performance-driven approach, which means that the utilities need to achieve 90% removal of mercury, and that has led to a significant reduction in, specifically in Illinois. We -- as we had modeled the business prior to the acquisition, I would say that we had modeled efficiency into the plan, we had also modeled a certain number of coal utilities shutting down prior to the MATS implementation. This would be for the utilities that would see too much of a burden from capital. And that would mostly be less about, actually, activated carbon or mercury removal, but more about SOx and NOx investments. So we had modeled about a 15% to 20% reduction in -- or shutdown in the existing coal utilities. And then we had a fairly conservative approach to the rest of the fleet of coal utilities, assuming that about half of those would require activated carbon at a certain level. So we're still on track, I think this is a long way to say that we're still on track with the model we have. And as I mentioned earlier, we're having active discussions with many utilities that are starting to gear up for the April 15 -- 2015, change in the regulation. Would you remind me, the second question, I believe, was related to price. So I mentioned that we have seen some effect on the pricing for mercury removal. There is overcapacity currently in the market, but we believe that once the MATS implementation kicks in, that the current softness will revert.
Kevin Hocevar - Northcoast Research: In terms of the outlook for pricing, is there any way to quantify what this could get to, where it can improve from here over the next 2 years as this supply and demand comes in balance?
Patrick M. Prevost: I would say the market most likely will be tight past 2015, and it is difficult to estimate where the pricing will be, but certainly, we're going to be taking a value-pricing approach and working with our customers very closely to make sure that we have a long-term approach to the business.
Kevin Hocevar - Northcoast Research: And can you tell us, if you can, what pricing is now in terms of general levels? Like price per pound -- either price per pound or how far it's down from a year or 2 years ago, something like that?
Patrick M. Prevost: I would prefer not to get into that because it is -- there is competitive issues here with regard to that. So...
Kevin Hocevar - Northcoast Research: Sure, no problem. And then just one final question. I was just a little surprised with 8% sequential improvement in volume, not to see a bigger leverage in terms of pricing -- or profit per pound in the Rubber Blacks business. I know it looks like there's a lot of charges in the third quarter that diluted that, but could you give us an idea of where plant utilization rates were globally? I know you've been giving us a couple updates on that. I think the last quarter may be high 70s [ph]?
Patrick M. Prevost: Yes. So I would say that actually plant utilization levels, in spite of the sequential growth of 8%, have remained in the 75% to 80% level. And the growth is really coming out of inventories, so we have been building inventory to manage certain situations across the company. And as the demand increased, we tap the inventory to achieve this growth. So we're still at that 75% to 80% utilization level today.
Operator: And your next question comes from Jeff Zekauskas of JPMorgan.
Jeffrey J. Zekauskas - JP Morgan Chase & Co, Research Division: Your growth in China and in Reinforcement business was very strong. Can you talk a little bit about Chinese business conditions and whether you see the growth in the reinforcement market continuing at that kind of level?
Patrick M. Prevost: Yes. So we've been very fairly pleased with the China market for the Rubber Blacks business. We're continuing to see our ability to use our quality technology, our service capability to attract our customers there, so we're quite happy with the development. We've also, of course, been strongly positioning ourselves to make sure that the new investment that we're starting up in September of this year is going to be successful. The new investment in Ching Tai [ph] will include capacity for highly reinforcing materials, so these are products that are at the higher-performance level. And we're seeing the Chinese market displaying more demand than in the past and we want to be there to accompany the Chinese customers as they continue to make higher-performing tires to meet the demands of the Chinese market and also, of course, the export market. So all in all, I would say we're continuing to see a fairly robust market in China for the -- in the tire space.
Jeffrey J. Zekauskas - JP Morgan Chase & Co, Research Division: And then lastly, we read all about advances in different silica technologies that go into tires and the enhancement of performance of tires through silica technology. Do you think, over time, the carbon black share of the tire market versus silica is going up or down or staying the same? And do you think that it will affect the longer-term growth rate of carbon black?
Patrick M. Prevost: So you're correct, Jeff, in terms of the increased use of silica in tires. This is mainly due to the increased demand in -- on the tires for rolling resistance -- or reducing -- reduction in rolling resistance and conservation of energy. Silica provides some performance enhancement in the space. But I think what is important to -- it's important to understand that the use of silica tends to be limited to the part of the tire that's in contact with the road, so it's a limited impact area, number one. Number two, carbon black is still an integral part of the tire and a critical reinforcement part of the tire, so carbon black cannot be substituted by silica. But silica is perhaps a further enhancement of the total tire and its performance. So all in all, we're seeing silica mostly used in personal car tires around the world. And we believe that silica will, in certain areas, substitute some of the carbon black. But as we look at the long-term trend, we think that higher growth in silica will only reduce the growth rate of carbon black by a fraction of a percent on a long-term basis.
Jeffrey J. Zekauskas - JP Morgan Chase & Co, Research Division: So fraction of a percent means 0.5%?
Patrick M. Prevost: I would say 0.5%. And if you look at long-term growth of carbon black, we see that being somewhere between 3.5% and 4.5% globally.
Operator: And your next question comes from the line of Jay Harris of Goldsmith & Harris.
Jay Richard Harris - Goldsmith & Harris Asset Management, LLC: Can you explain, in a little more detail, why the Illinois standards on mercury removal caused a reduction in the demand for activated carbon?
Patrick M. Prevost: Right. So, Jay, so what happened is, I believe that in the early stages of putting regulation in place in Illinois, the regulator wanted to make sure that the mercury removal was happening at the highest level. So they -- and not knowing exactly how the mercury removal process would work, they actually took a cautious approach in terms of saying, "We're going to require every utility to put x amount of activated carbon into their flue gas. After several years of that, they realized that, actually, they could go to letting the utilities actually remove mercury in a more efficient way. And as a result, the regulation was moved towards a 90% mercury removal level, which then allow the utilities to improve the efficiency of their systems. And as they went through that process, they reduced the absolute amount of activated carbon use.
Jay Richard Harris - Goldsmith & Harris Asset Management, LLC: I'd like to learn more about the processes and the process changes, this may not be the appropriate vehicle on this conference call to do so...
Patrick M. Prevost: Yes. I think maybe one point here, Jay, is measurement equipment became more sophisticated as well, so the ability to measure inline mercury removal improved, to the point where the regulator was comfortable with going from a fixed amount to a mercury removal amount.
Jay Richard Harris - Goldsmith & Harris Asset Management, LLC: Oh, all right. So in other words, they're consuming less but they still consume activated carbon.
Patrick M. Prevost: Yes, they were forced to put x pounds and now they're told, "I can measure how much I remove."
Jay Richard Harris - Goldsmith & Harris Asset Management, LLC: So the use of activated carbon changed the disposal mechanism for fly ash?
Patrick M. Prevost: I'm not sure that...
Jay Richard Harris - Goldsmith & Harris Asset Management, LLC: Fly ash is generally mixed in with -- and so the nature of the question is as the activated carbon that's exposed to the flue glass, changed the nature of the fly ash so that it is less suitable for disposal in a conventional way.
Patrick M. Prevost: Yes. I'm sorry, Jay, maybe we could take that one offline. I'm not sure I can go into that level of detail with regard to the side effects of activated carbon use and fly ash reuse or -- in concrete application, I think, is what it normally flows into.
Jay Richard Harris - Goldsmith & Harris Asset Management, LLC: Right. Okay. Second area, the silicon -- silicone market is oversupplied, either because of recession or because of excess supply out of maybe China or other reasons -- regions of the world. And prices have come down. You are both a purchaser of black products from that industry and a supplier of materials to that industry. Can these developments adversely affect the profitability of your business?
Patrick M. Prevost: Actually, the -- maybe you can help me here, Eddie. Eddie ran the [indiscernible] business so...
Eduardo E. Cordeiro: So, Jay, you're referring to silicon metal prices, which has come down a lot with the...
Jay Richard Harris - Goldsmith & Harris Asset Management, LLC: Silicones.
Eduardo E. Cordeiro: Well, with the decline in the PCS industry. First of all, our arrangements are typically long-term arrangements in terms of purchasing raw materials, so we wouldn't see too much of an impact except on the margins around spot purchases of raw material which, over the past years, have gone into different situations of both tight demand and then excess supply. And so, I guess, it's a pretty complicated question, which would require really getting into a lot of the details of how all of those materials move in the silicones industry, as well as in the PCS industry.
Jay Richard Harris - Goldsmith & Harris Asset Management, LLC: Well, generally when customers -- let's look at the sales end of the equation, when customers' margins declines -- decline, then the customers normally come back to their suppliers and ask for pricing relief. Do you think that's likely to happen?
Eduardo E. Cordeiro: I guess, it might make sense for us to try to understand the question a little more detail offline if we want to set up a time to talk about that and some of the details around.
Jay Richard Harris - Goldsmith & Harris Asset Management, LLC: I'll contact Erica. Final area, which -- in which I might get an incomplete answer is Elastomer Composites. How -- can you -- are you in a position to describe to us what the process that customers are moving towards look like?
Patrick M. Prevost: So, Jay, as you alluded, we're going to be in the incomplete mode here because of our confidentiality agreement with Michelin. But what I would say is the business is doing well. Michelin is completing its plants in Southeast Asia, and we will see a ramp-up in the royalties as Michelin's production facilities come online.
Jay Richard Harris - Goldsmith & Harris Asset Management, LLC: But you were also, I think, working with a non-tire rubber producer in India. Can you talk about the nature of the process that might feed that company?
Patrick M. Prevost: So we can't talk about specific relationship with customers. What I can say is that the technology is applicable in non-tire applications and that we're working at finding customers in this space, both from a technology and a product perspective.
Jay Richard Harris - Goldsmith & Harris Asset Management, LLC: Well, at some point -- I guess, what I'm really looking for is a description of the motivation of the customer to adopt the techniques imbued in your process and where the cost savings or the higher-quality plus cost savings are coming through the customer?
Patrick M. Prevost: Well, the -- this rubber reinforcement technology, it allows, in certain applications, to extend the life of the rubber multiple factors. So this is...
Jay Richard Harris - Goldsmith & Harris Asset Management, LLC: So I would assume that was due to the higher molecular weight of the product.
Eduardo E. Cordeiro: It's a combination of that and better dispersion of the Reinforcement Materials.
Jay Richard Harris - Goldsmith & Harris Asset Management, LLC: Well, do you displace the traditional way of putting carbon black into the rubber latex?
Patrick M. Prevost: Yes.
Jay Richard Harris - Goldsmith & Harris Asset Management, LLC: So that there would be a reduction in the use of Danbury [ph] mixers?
Patrick M. Prevost: That's correct.
Operator: Your next question comes from the line of Christopher Butler of Sidoti & Company.
Christopher W. Butler - Sidoti & Company, LLC: Shifting gears to Advanced Technologies. Just hoping you might be able to give us a little visibility into the Specialty Fluids part of that and thoughts as we move into the final quarter of the year, understanding that this is historically a lumpy business and difficult to forecast.
Patrick M. Prevost: Yes. So I will repeat that it is a lumpy business that's difficult to forecast, but I think we've been demonstrating over the last few years that through the quarters, we're seeing a strong trend line in terms of increased use of the material and increased understanding of the technology and its value to the oil and gas industry, so we're pleased to see that. We're in discussions with more and more customers. We've engaged in a few projects in the -- in Asia and we're very bullish about the opportunity in this business. We will, however, continue to indicate that quarter-on-quarter projections are very difficult to do and that will remain so, most likely, into the future because it is project-related business.
Christopher W. Butler - Sidoti & Company, LLC: Can you give us any help there closer to what you saw in the first half of the year or what we saw in the third quarter or split the difference, any little help?
Patrick M. Prevost: We had a very strong quarter in the third quarter.
Christopher W. Butler - Sidoti & Company, LLC: And the other side of that business, could give us a sense on the benefit of cost cutting that you saw here in the third quarter and how that's going to, hopefully, accelerate as the quarters continue?
Patrick M. Prevost: So the cost cutting has been driven by a prioritization of resources, so it's been about deciding where we would spend our time and our money and has resulted in the -- in reduction in costs in several places around the company. I would say that the $12 million run rate that we've indicated is -- it will be achieved next year and that will be the level it will stay at. We continue to be committed to investing in technology. At times, you need to pull back in certain areas that have not been as successful. And that was the intent of this exercise, and I would say the $12 million run rate is a good base.
Christopher W. Butler - Sidoti & Company, LLC: And on the Specialty Carbons business, could you talk about the weakness that you're seeing there? It seems to be, to some degree, in excess of the end markets that I'm looking at globally.
Patrick M. Prevost: Right. So I think, first and foremost, I would say that the segment EBIT for the first 9 months of this year is about 4% higher than the first 9 months of 2012. So we're continuing to see improvement, albeit at a lower level than we'd like. I think a lot of what's happening in this area is we have a good portion of our business that is linked to infrastructure and construction, and these sectors have been growing at less than GDP. And with the low GDP growth rates that we're seeing across the globe, of course, that means that the numbers are flat to at -- to very low growth rates. And I think that's one factor. I think the second factor is that we have a slightly higher portion of our business in Europe in this segment. And that has also, of course, dampened the growth potential. All in all, we're still very well positioned. We were trying to mitigate some of this low demand with innovation, new product developments, and we're very pleased with the launch of new products in the silicone and adhesive sector. But we're going to need to see some economic improvement to go back to the growth levels we were -- we're expecting in the long run.
Operator: And your next question comes from the line of David Begleiter, Deutsche Bank.
Jermaine R. Brown - Deutsche Bank AG, Research Division: This is Jermaine Brown, filling in for David Begleiter. Couple questions, first within reinforced materials, are there any other trends that you can point to, to confirm this nascent recovery in tire volumes?
Patrick M. Prevost: I'm sorry, I didn't totally capture your question. You broke up.
Jermaine R. Brown - Deutsche Bank AG, Research Division: Are there any other trends that you can point to, to confirm this nascent recovery in tire volumes?
Patrick M. Prevost: I would say that it is difficult to predict. We've -- we had the impression at the end of last summer that things would be picking up, and we were disappointed. We were hoping that after the New Year, things would pick up and we were disappointed, then Chinese New Year passed. And so I'm -- we're -- I feel a bit burned in terms of making any predictions in this sector. I think the only thing I would say is that we've done quite a bit of work on the long term and looked at history. And the -- there's a fairly robust indicator that the trend line for tire and carbon black demand is in the vicinity of 4%, 3.5% to 4.5%. And that we're -- we have been below that trend line for the last, approximately, last 2 years. And in historical periods like, of recession, we saw a growth pickup at some point and go beyond the trend line. So I would say that -- that motivates me to say that the business should be returning to high levels of demand. I think the big question is when. But we're certainly slightly more optimistic with what we've been seeing in the last few months.
Jermaine R. Brown - Deutsche Bank AG, Research Division: Okay. Understood. And one more, within Purifications Solutions, can you size the non-air gas part of the business?
Patrick M. Prevost: It's about 75% of the total business.
Jermaine R. Brown - Deutsche Bank AG, Research Division: 75%? Okay.
Operator: And your next question comes from the line of Kevin Hocevar, Northcoast Research.
Kevin Hocevar - Northcoast Research: Just one quick follow-up question. I wanted to follow-up on -- from Ivan's question on pricing. What's kind of your outlook? Well, I guess a customer said on the call that they saw a mixed bag in raw materials, but carbon black pricing have been coming up since April. And I know that there's a base price component and a raw material component. And for the most part, it seemed like raws were fairly flat throughout the quarter. So just wondering if you're starting to get some recovery during the quarter in terms of your base price in there? And what's your outlook for 2014? I know you had to give back some base pricing in Europe. U.S. was still strong. But what would it have to take, you think, what recovery would we need to see to kind of start to get some of that pricing back?
Patrick M. Prevost: Right. So as I mentioned earlier, we've seen pricing on the Rubber Black side. And, of course, it's slightly more complicated because there's multiple products. But in general, I think the trend has been flat on pricing in the past quarter. So I think that, that's clearly an indication that there's been no decline in pricing. We expect that as volumes recover, and we're, of course, optimistic about that, pricing will change. We have a certain amount of our business that's under contract with formulas, but we've also got a large part of our business that is based on monthly pricing. So as the demand picks up, we will be, of course, looking at applying some of our value-pricing principles and getting the value we expect.
Operator: At this time, we have no further questions. And I would like to turn the call back over to Mr. Patrick Prevost for closing remarks.
Patrick M. Prevost: Yes. So thank you very much for joining us today in the call, and we're looking forward to speaking with you again next quarter. Thank you. Bye-bye.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for your participation. You may now disconnect and have a great day.